Operator: Welcome to the Universal Corporation First Quarter Fiscal Year 2017 Earnings Call. I would like to turn the call over to Candace Formacek, Vice President and Treasurer for Universal Corporation. Ma’am, you may begin.
Candace Formacek: Thank you, Jason and thank you for joining us. George Freeman, our Chairman, President and CEO and David Moore, our Chief Financial Officer are here with me today and they will join me in answering questions after these brief remarks. This call is being webcast live and will be available on our website and on telephone taped replay. It will remain on our website through November 4, 2016. Other than the replay, we have not authorized and disclaim responsibility for any recording, replay or distribution of any transcription of this call. This call is copyrighted and may not be used without our permission. Before I begin to discuss our results, I caution you that we will be making forward-looking statements that are based on our current knowledge and some assumptions about the future and are representative as of today only. Actual results could differ materially from projected or estimated results, and we assume no obligation to update any forward-looking statements. For information on some of the factors that can affect our estimates, I urge you to read our 10-K for the year ended March 31, 2016, as well as our Form 10-Q for the first fiscal quarter of 2017. Such factors include, but are not limited to, customer-mandated timing of shipments, weather conditions, political and economic environment, government regulation, changes in currency, industry consolidation and evolution, and changes in market structure or sources. Some of the information I have for you today is based on unaudited allocations and are subject to reclassification. In an effort to provide useful information to investors, our comments today may include non-GAAP financial measures. For details on these measures, including reconciliations to the most comparable GAAP measures, please refer to our current earnings press release. Results for the first quarter of fiscal year 2017, which ended on June 30, 2016, were a net loss of $5.5 million or $0.40 per diluted share, which is relatively flat compared with net loss of $5.9 million or $0.43 per diluted share for the first quarter of fiscal year 2016. The first fiscal quarter of 2016 included restructuring costs of $2.4 million, that’s $1.6 million after tax or $0.07 per diluted share. Segment operating loss, which excludes restructuring costs, was $8.1 million for the first fiscal quarter of 2017, down $4.6 million compared to the same period last year, mainly as a result of larger losses in the Other Regions segment, partially offset by earnings improvements in the North America segment. Consolidated gross margin percentages were flat for the comparative quarters. Revenues for the quarter increased by 7% on modestly higher total volume, mostly driven by the change in leaf supply arrangements in the North America region announced last year. Our seasonally weak first quarter results were in line with our expectation as we anticipate that fiscal year 2017 will develop similarly to the past several years with volumes weighted to the second half of the fiscal year. Results for our North America segment improved on increased volume largely due to carryover shipments from changes in the business model there. However, higher currency re-measurement and exchange losses primarily in Other Regions segment negatively impacted our results. Lower crop levels in Brazil from El Niño weather pattern, coupled with our decision to reduce our buying program there due to escalating and unsustainable green leaf prices, reduced our Brazilian purchasing and processing volumes in the first fiscal quarter. We expect decreased volumes from that origin to continue to affect our results throughout the fiscal year. Our global leaf production estimates indicate a return to historical crop levels in Brazil’s 2017 growing season for which plantings are currently underway. Moving to the segment detail, the Other Regions segment reported an operating loss of $17 million for the quarter compared with the prior year’s first quarter loss of $7.8 million. The decline was primarily result of higher selling, general and administrative costs mostly from larger foreign currency re-measurement and exchange losses in Africa and South America. Although sales volumes increased in South America from sales of prior crops, margins were pressured by higher factory unit costs resulting from significantly lower total volumes handled in Brazil. Sales volumes were down in Africa in this seasonally low first fiscal quarter on comparisons to larger carryover crop sales in Tanzania last year. Results were down in Asia on customer shipment timing comparisons and a less favorable product mix, while Europe benefited from improved volumes in its sheet tobacco operations. Operating income of $6.8 million for the North America segment in the first fiscal quarter was up $3.4 million compared to last year. Earnings improved from stronger sales volumes due in part to carryover crop sales from the previously announced changes in leaf supply arrangements as well as positive comparisons from the earlier timing of earnings recognition as a result of acquiring full ownership of our processing facility in Guatemala in the third fiscal quarter of 2016. The Other Tobacco Operations segment operating income of $2 million for the first fiscal quarter improved $1.1 million compared with the same period last year. Results for the dark tobacco operations improved for the quarter on completion of previously delayed shipments in Indonesia and in absence of inventory write-downs in Nicaragua this year. Oriental joint venture reported better results as well mainly from favorable comparisons to the prior year’s currency re-measurement losses. Operating results for the special services group were flat compared with the prior year’s first quarter. Looking forward, with the lower 2016 crop levels, we believe that supply of flue-cured and burley tobaccos, is largely in line with demand on a global basis. However, inventories held by our customers and the leaf quality and pricing of crops yet to come to market may influence near-term demand for leaf tobacco and the desirability of certain types and styles. It is still early in the season, but customer orders and indications to-date remain consistent with our expectations. We currently anticipate that our volumes sold in fiscal year 2017 will be lower than those in the prior fiscal year mainly due to reduced Brazilian volumes and that shipment timing will again be weighted to the second half of the fiscal year. We are continuing to carefully monitor crop purchases this season and our uncommitted inventories remain within our normal range. We also recently announced that we have discontinued processing in our factory in Hungary and will concentrate the future processing of Hungarian tobaccos in our facilities in Italy. This change will yield economies of scale for our Europe region and is another example of our continual drive to achieve supply chain efficiencies that deliver value to the industry. At this time, we are available to take your questions.
Operator: [Operator Instructions] And your first question comes from the line of Ann Gurkin.
Ann Gurkin: Good evening, everyone.
George Freeman: Hello, Ann.
Ann Gurkin: Wanted to start with your comment regarding the supply of flue-cured and burley in line with demand, can you tell me about the quality of the leaf globally?
George Freeman: Well, Brazil – I think Brazil was average.
Candace Formacek: I don’t think we are seeing any particular quality issues at this point.
George Freeman: There is not really anything out of line and they are either on – in either direction. No, again, there is always been high-quality tobaccos. High-quality grades are always kind of tight, but in general, it’s sort of just average.
Ann Gurkin: Okay. With that scenario then putting us at a smaller crop in Brazil, I would think your customer orders were pretty lean or certainly not in an oversupply situation. So, I would think, excluding Brazil, you should have pretty decent demand from your customers. Is there anything wrong with that thought process?
George Freeman: There is – that’s exact – Brazil is all by itself this year. It’s just a fluke, yes.
Ann Gurkin: Okay. But besides that, demand looks pretty solid from your customers for leaves?
George Freeman: Yes.
Ann Gurkin: Okay, great. And then Candace, in your comments, you referenced the carryover in North America, can you give us a percentage of – can you give us any other numbers on that carryover amount?
Candace Formacek: We are really not giving the percentages. I don’t know if I even have that number right now. We mentioned last quarter that, that was going to be a factor in the first quarter and this is a result of the shift in timing from the change to our business there from toll processing to full service sales of packed tobaccos. And some of those styles come in later in the fiscal year, so we will carry over into this first year. So, you are seeing a timing difference in this first fiscal quarter, but this is the last time you will see that timing difference.
George Freeman: Right, right, that should be the new normal.
Candace Formacek: Right. And so I mean, you can look. We did sort of indicate that, that as well as the one change in timing on the Guatemala recognition of income, those are the two factors that are the main drivers in the differences there.
Ann Gurkin: Okay. I am always asking about SG&A up in the quarter, I am assuming currency. How should I think about the balance of the year?
Candace Formacek: Gosh, Ann, yes, that’s always – currency is really challenging. And some of the currency was also compared to more positive currency results last year, so it was a relative issue, but that’s always something that is hard to predict. And I think as we have said in the past, we always worked to improve our SG&A. Some other currencies that are devaluing do influence somewhat from lower costs there. Depending on where we are with volumes and throughput that can be a factor as well in trying to predict currency in the future quarters’ movements, I am not going to go there.
George Freeman: Especially given our wonderful political situation.
Ann Gurkin: Demand for reconstituted lease, can you comment on that at all, is that improving at all? I think you referenced sheet tobacco.
George Freeman: No. I mean, I guess, you can look at other – there is another public recon maker that just issued their earnings and that’s a different kind, but you can see that. It’s a steady...
Candace Formacek: Specialty area.
George Freeman: Yes, it’s a steady business. It’s not...
Candace Formacek: But we did see benefits in our Europe region this quarter driven by...
Ann Gurkin: But given that tighter market for leaf, lots of times that will start increasing demand….
George Freeman: Yes, but it’s going to be a big crop in Brazil and it’s turned now – I mean, the U.S. crop is kind of sneaking up everyday, so...
Ann Gurkin: Okay. You talked about an objective for fiscal ‘17 of improving efficiencies in the market. Can you give me any detail on what that means?
George Freeman: It’s similar to Hungary as an example. There is a lot of opportunity to reduce excess capacity and use things more efficiently.
Ann Gurkin: Okay. And then China, I know it’s hard to predict, but you have seen cigarette volumes down last year estimated to be down this year, how are they in terms of participating on the leaf global market?
George Freeman: They have been very, very – outside of China, they have been very constant the last few years and I don’t see that change even with reduction – even with production reducing.
Ann Gurkin: Okay. And then George, one more question, you had two board members retire today, and one was elected. You seem to have one more spot. Any update on whether you will fill that additional board member seat?
George Freeman: Yes, we probably will. It’s probably – I mean, we are fine with our – with this number. I don’t think – but if we find the right person, we will fill it. So, I expect we will fill it, but we may – it’s all about timing. We may not find someone by the time someone else rolls off. I don’t see it constitute – 7 or 8 outsiders has worked fine.
Ann Gurkin: Great, great. Thank you for your time.
George Freeman: Thanks, Ann.
Candace Formacek: Thank you, Ann.
Operator: And we have no further questions at this time over the phone.
George Freeman: Alright.
Candace Formacek: That’s great. Thank you, Jason and thank you all for joining us on our call today.
Operator: Ladies and gentlemen, this concludes today’s conference call. You may now disconnect.